Operator: "
Mark Wilson: "
Chris Chong: "
Malcolm Bundey: "
Rahul Anand: " Morgan Stanley, Research Division
Paul Young: " Goldman Sachs Group, Inc., Research Division
Lachlan Shaw: " UBS Investment Bank, Research Division
Glyn Lawcock: " Barrenjoey Markets Pty Limited, Research Division
Kaan Peker: " RBC Capital Markets, Research Division
Ben Lyons: " Jarden Limited, Research Division
Jonathon Sharp: " CLSA Limited, Research Division
Mitch Ryan: " Jefferies LLC, Research Division
Unknown Analyst: "
Robert Stein: " CLSA Limited, Research Division
Matthew Frydman: " MST Financial Services Pty Limited, Research Division
Lyndon Fagan: " JPMorgan Chase & Co, Research Division
Operator: Thank you for standing by, and welcome to Mineral Resources Analyst Call covering today's release of its September 2025 Exploration and Mining Activity Report. Your speakers today are Mark Wilson, Chief Financial Officer; and Chris Chong, General Manager, Investor Relations. A bit of admin before we kick off. [Operator Instructions] This call is being recorded with a written transcript being uploaded to the MinRes website later today. I will now hand over to the MinRes team.
Mark Wilson: Thanks, Josh, and good morning, everyone. My name is Mark Wilson. I'm the CFO of Mineral Resources, and welcome to our quarterly call for September. In the office with me this morning, I have Chris Chong, Investor Relations. And today, we're joined on the line by our Chair, Malcolm Bundey. As usual, I'll first run through some highlights from the quarterly, which was released this morning, and then we'll be happy to take questions at the end. Beginning with the key highlights. I'm pleased to advise we've delivered another strong quarter across the business and as a result, confirm that we're on track for our volume and cost guidance for FY '26. Onslow Iron was a key highlight in the quarter. We shipped 8.6 million tonnes on a 100% basis in the quarter, which was a commendable performance from the team, noting that road upgrades were being conducted through almost all of the quarter. Project also operated at its full 35 million tonne per annum nameplate capacity between August and October, which, as announced this week, triggered a $200 million Morgan Stanley Infrastructure Partners payment, which we expect to receive in coming days. Securing that contingent payment is a strong financial outcome that rewards the operational excellence we're seeing at Onslow Iron. And I want to take a moment to thank the entire team for a huge effort to get us to that point. This range from the construction team to our approvals and heritage teams through the commodities and mining services teams. On the Board renewal front, Mel commenced as Chair on the first day of the quarter. We also announced the appointment of 2 new independent nonexecutive directors in the quarter, being Lawrie Tremaine and Ross Carroll. And after quarter end, we were pleased to advise the further appointments of Colin Moorhead and Susan Ferrier as independent nonexecutive directors. Turning to safety. The 12-month rolling TRIFR was 3.35, which was a 13% improvement quarter-on-quarter. That's a solid outcome and reflects less recordable injuries following the wind-down of construction activity at Onslow Iron. In terms of corporate, our liquidity remains strong and steady at $1.1 billion at 30 September, with net debt at $5.4 billion and importantly, net debt to EBITDA continuing to fall. I believe we're now past peak net debt, and we continue to see a clear pathway to deleveraging through the operations. As we've said previously, as Onslow Iron ramps up, our EBITDA is expected to increase, and our net debt to EBITDA will continue to decrease organically. The Onslow Iron carry loan, which to remind everyone, is the receivable from our JV partners for funding them into the project, is now being repaid with interest, with balance at the end of the quarter of $714 million. That's a decrease of over $50 million over the quarter despite some additional spend adding to the balance. Subject to commodity prices, we expect that balance to reduce more quickly in coming quarters. As foreshadowed during the quarter, we successfully refinanced our USD 700 million May '27 notes, extending the maturity out to April 31 at our lowest coupon rate of 7%. This represents the smallest spread over treasuries we've achieved, and I believe it reflects the bond market's understanding of our diversified business model and the improved quality of cash flows being generated in the business. In terms of Mining Services, quarterly production volumes were 81 million tonnes, steady over the prior quarter and notably representing growth of 19% year-on-year. Volumes were driven by the ramp-up of Onslow Iron to nameplate and were partially offset by reduced volumes at Mt Marion and a couple of the client sites. At Onslow Iron, we have -- sorry, we have incurred additional costs as a result of the use of contracted trucks, but we've also benefited from higher rates, which were designed to protect us through the first 15 months or so of operations. Those rates are now back to long-term rates. In terms of the broader market for mining services, third-party demand remains strong, and we see good growth opportunities with Onslow Iron being a great showcase of our capability. For Mining Services, we remain confident of hitting our guidance range of 305 million to 325 million tonnes for the year, implying 13% annualized growth. In terms of iron ore, total attributable shipments were 7.6 million tonnes over the quarter, up over -- sorry, up 30% over the quarter. The average quarterly realized price across both hubs was USD 90. That represented an 88% realization. We continue to see strong demand for our Onslow Iron product. I do, however, want to point out that realizations at our Pilbara hub are likely to reduce over the next 2 quarters as the contribution of ore from One Mana decreases ahead of Lamb Creek's ramp-up in Q4. As I flagged last quarter, with iron ore prices solid and the curve relatively flat, we've prudently hedged out about 1/3 of production to the end of calendar year '25, given the first half weighting of CapEx. We're currently assessing our strategy for the next calendar year. In terms of iron ore at Onslow, as I said, team is delivering excellent performance there. We've loaded 44 oceangoing vessels this quarter. And as of today, we've loaded a total of 136 vessels, and continue to be very pleased with the way the transshippers are performing. We have had an issue with the bouruster of one of the transshippers since the 7th of October, which means that for the last 3 weeks, we've been operating with 4. That bouruster is being repaired and expected to be back online early next week. Sixth transshipper was launched from China in the quarter, and we expect it to be commissioned by around June next year, as we flagged previously. Over the quarter, we had 202 -- on average, 202 road trains operating, 118 of the MinRes jumbo trucks, and 85 contractors with over 31,800 trips to port completed. With the private haul road upgrade completed, we're now operating unconstrained at normal speeds, and all the contracted road trains are now solely using our road. We do have the full fleet of jumbo road trains on site, and we're progressively reducing the number of contracted trucks being utilized in line with contract arrangements. We'll be able to continue to operate at the 35 million tonne per annum nameplate rate, but do expect some seasonality impacts through the typical cyclone season from November through to April. On the costs at Onslow, I've said previously that I feel like we have a pretty good grip on those. They came in -- the costs came in at $54 a tonne at the bottom end of guidance. And just confirming there were no capitalized operating costs as we had declared commercial production from 30 June. In terms of the Pilbara Hub, we shipped a total of 2.7 million tonnes, which was another strong quarter. PB costs came in at $83 a tonne, reflecting a higher contribution from Iron Valley. We do expect those hub costs to fall back within guidance over the year as we transition from One Mana to the lower-cost Lamb Creek operation in the second half. Turning to lithium. The lithium pillar continued the strong operational performance we've reported over recent quarters. Production across Mt Marion and Wodgina was 137,000 dry metric tonnes on an SC6 equivalent basis, with sales of 142,000 tonnes SE6. That's up 23% quarter-on-quarter. Average realized quarterly prices across both sites was USD 849 dry metric tonne on SE6 equivalent basis. That's up 32%. Wodgina delivered sales of -- sorry, 88,000 kilotonnes of SE6. That was helped by a ship that was scheduled for June slipping into early July. Production was up 6%, driven by improved recoveries of 67%. That followed the plant improvements that I mentioned last quarter, including the successful commissioning of high-intensity conditioning dewatering cyclones on the second and third processing trains, which is now complete. We achieved a FOB cost for Wodgina, SE6 equivalent basis of $733 per tonne. I just want to point out that we expect that cost number to rise in the second half. Essentially, we're moving from higher or upper levels of Stage 3 down. And as we do that, we're feeding ore that we'll see a little bit more dilution and lower recoveries through the plant, but we will then get to deeper and higher quality ore. In terms of Marion, Q1 sales were 55,000 on an SC6 equivalent basis, in line with the prior quarter, the cost coming in at $796 a tonne. Those costs are lower than guidance. And again, I just want to point out that we expect them to rise in the second half. We're transitioning from the central pit to the north pit. So the grade changes and the mining costs increase. Finally, to finish with energy, we did receive an independent resource certification for the Lockyer-6 well in October, post-quarter end, and we've now received $41 million for that as a final payment under that arrangement with Hamrock. Having completed those comments, I'm now happy to hand back to Josh to queue questions. Thanks.
Operator: [Operator Instructions] Our first question today comes from Rahul Anand from Morgan Stanley.
Rahul Anand: Look, I've got 2 questions. Firstly, in terms of Mining Services, you did talk about the 15-month rates coming off and the rates being lower. But then I guess, to offset that, you do have contractors going off the road. And I understand year-on-year, there's going to be a bit of a lower margin in terms of EBITDA per tonne. But how should we think about that margin progressing into next year? And how should we basically square the circle of these 2, I guess, opposing forces for the margin side of things? And I'll come back with the second.
Mark Wilson: Yes. Thanks, Rahul. We generally talk in terms of the $2 a tonne number, and we said that we think that's a reasonable guide going forward. There is a little bit of up and down in the first half with the movements that you've described. We do get the benefit from that additional rate through the first quarter. So it might be a little bit up and down. But yes, generally, $2 over the year still seems right for us.
Rahul Anand: And then, look, I just wanted to touch upon the lithium business. Obviously, very strong performance this period. And I guess the market is there to be able to supply as well. Two quick ones there are just around -- is there potential to sweat the assets a bit harder to kind of make use of this strong market in terms of volumes? And then any sort of progress update on that lithium business potential sale, as well, that's previously been talked about?
Mark Wilson: I think that makes 3 questions in total role, but I'll answer them both. In terms of the lithium, we're very pleased with the way that business is performing. It's been performing well for quite some time now. We have pulled back on production, as we've said previously, we're running Mt Marion a little bit slower. And Wodgina, we're running a little bit over 2 trains on average over the period. We can push that third train on with relatively short notice when we choose to do so. But what we've said is that we won't be at clean ore to be able to feed 3 trains consistently until around November -- around this time next year. So there is capacity to go harder. We don't have any plans to push it harder at this point. In terms of any sort of process around lithium, I'm not going to comment specifically on lithium as such. What I will say is that Chairman in his letter to shareholders expressly referenced a willingness to consider inorganic deleveraging, and you should assume that's something that we're continuing to do. As we've said before, we've got a history of doing that. We've been doing that for the last 5, 7 years, and we'll continue to evaluate options.
Operator: Our next question comes from Paul Young from Goldman Sachs.
Paul Young: First of all, really strong operating performance. So well done on a good quarter. First question is on Onslow and with respect to actually costs, which were really, really good considering you're still running the contractor fleet. But I noticed the strip ratio was really low, only 0.3:1. So as you unwind the contractors, you're going to benefit there. But just on the strip ratio, maybe just over the near to medium term, how are you seeing that profile?
Mark Wilson: Yes. So I just want to make it clear. Thanks, Paul. Nice to talk. Just want to make it clear for everybody. Those contractor costs don't come through that fog number. Those contractor costs sit in the mining services business because they have a mining services business has effectively a mine-to-ship contract. So the MineCo, Onslow Iron enjoys the benefit of a fixed price contract. And so that number of 54 reflects that price. So those costs have effectively reduced the margin in Mining Services, albeit, as I said earlier, offset by higher rates. So hopefully, that clarifies that. In terms of the strip, it is true that the strip at Onslow is low. It will revert in the short to medium term to 0.6. We are actually pulling tonnes now from Upper Cane, which actually has a strip of 0.1. So we expect to see low cost going forward, and we don't see upward pressure on that $54 into future quarters. Yes, we still think we'll be between guidance of 54 to 59.
Paul Young: And second question, just on the hedging strategy, which has been great so far. I mean you hedged at 30 volumes at the end of the year. The market is tight. You can see that through your realizations. What is the hedging strategy next year? I know you said you're assessing it, but I would have thought that it'd be pretty compelling to hedge more at -- under the current structure into next year?
Mark Wilson: Yes. We are considering it. There are a range of considerations that we're weighing up. We actually have locked a few tonnes away in January. We're using the same sorts of structures, zero cost collars with a floor -- the ones this year -- this calendar year, between a floor of 100 to 101 and a cap of around 106 to 108. We can get probably slightly better numbers in January, which we have in place for a small number of tonnes. We're looking at now extending that out. The market has moved a little bit over the last week, as you know. So it's something we're watching closely. But it is attractive at these prices, particularly as we move through this deleveraging phase.
Operator: Our next question comes from Lachlan Shaw from UBS.
Lachlan Shaw: So 2 from me. I suppose I just wanted to check with Onslow. So the August run rate, 38 -- in excess of 38 million tonnes per annum. And obviously, TSB 6 arrives within sort of 12 months. Just interested in how you're thinking about the ability of the asset to sort of sweat or push above that 35 million tonne per annum run rate sort of post '26. And I'll come back with my second question.
Mark Wilson: Thanks, Lachlan. We're very pleased with the way the assets performed or the projects performed over the quarter. We have benefited from comparatively calm weather through the period. We have lost a number of days, but this is a quarter we would expect to do well. As you would expect from us, we're constantly looking at ways that we can improve productivity. We're searching for minutes literally in every aspect of the operation. What we've said consistently is the sixth transshipper should give us the capacity to go to 38 million tonnes per annum. We are trialing and have been trying for the last month or 2 channel passing of our transshippers, and we see the potential to possibly increase throughput by another 5% as a result. But we'll -- possibly, we'll see how we go through -- we'll continue running those trials over the coming months. But I think the headline number that we've got to remains unchanged that we see us getting up to 38 million with the sixth transshipper.
Lachlan Shaw: And look, my second question, so just on the lithium side of the business and the MineCo, and obviously, reports around and being open to, I suppose, capital recycling. But I wanted to ask, can you help us understand -- I mean, how do you think about this business, and I suppose the optionality embedded in being exposed to the potential for fly-up pricing in lithium, there will be another cycle. We know that, versus obviously, a key motivation for doing or looking at this sort of transaction will be at the gear. But can you help us understand how you think about -- I mean, how do you sort of weigh all that up? Because I do know, obviously, spot prices are looking better. You're realizing a better price this quarter, and perhaps things are looking a little better into next year. So just interested in how the business thinks about those trade-offs.
Mark Wilson: So what I'll say is I'll just repeat, Chairman's expressed very clearly an intention to consider inorganic deleveraging. Management is assessing a whole range of different possibilities. You should assume that anything we do on any of the assets, we will only transact if we see real value there. So we don't need to do a transaction today. We're really pleased with the way the business is performing. We're pleased with the cash it's generating. We can see that, as I said earlier, that clear line of sight to deleveraging through the performance of the business. Just to emphasize, we won't do anything unless we can see very strong value, both financial and strategic for doing something. I don't know that I can say much more than that.
Operator: Our next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Just if you could maybe help a little bit on the realizations for iron ore, 85% of Pilbara and 90% at Onslow. How much of that was due to the hedging you put in place? And just how much is that maybe quality as you start pushing Onslow because it was -- you were getting more like 80% realization?
Mark Wilson: Yes. So Glynn, almost no impact from the hedging. We had maybe a couple of percentage points impact through prior period adjustments, but not substantial. Really, what we've seen is the whole market has tightened in terms of low-grade discounts over the quarter. There's been a shortage of supply into China, and we're seeing as the mills become more familiar with the Onslow product and figure out how to blend and optimize it through the plant, continuing to see very strong demand for that product. And really, they would take as much as we could give them. So very pleased with the way that's performed. But as you pointed out, even in the Central Pilbara, the discount has been tighter. So I think that's reflected in general market conditions. And we're seeing that continue into the early stages of this quarter.
Glyn Lawcock: And then maybe just any update you can provide on discussions with the Pilbara Port Authority over the dispute on charges for Onslow?
Mark Wilson: We've got a great relationship with the Port Authority. We work with them in a number of areas. I can't comment specifically on that matter because it's before the courts.
Operator: Our next question is from Kaan Peker from RBC.
Kaan Peker: Just on the parallel channel passing, just wanted to get an understanding of how the trials have gone. What needs to be seen to be rolled out? And why only 5% upside in capacity? A bit more detail around that? And I'll circle back with a second.
Mark Wilson: Thanks, Kaan. The trials are performing well. We have to trial with each of the vessels. We have to trial with the different shifts. We have to trial with day and night. We have to trial with the different crews. So there's a whole number of elements that need to be trialed over a period of time. We're also working with the Chevron vessels passing in the channel and so on. So it just -- it's a process that we've agreed with the port authority. It takes time over a period of months. In terms of the 5%, we've modeled it out. We're taking a view. We can't assume that we can do that for every movement of the transhippers. So to get to that number, we've taken a view on the percentage to see how frequently we can utilize that opportunity.
Kaan Peker: And then maybe the commentary around flotation at Mt Marion. You've sort of mentioned it before, but I think it's the first time seen a date of 1Q '27. Just wondering the CapEx for that and if that's been included in FY '26 guidance.
Mark Wilson: In terms of the float, that's something we're still studying. So we're doing some -- we are doing a little bit of design work on it, design engineering work. We're working with our joint venture partners to understand what that looks like. But the actual work itself is not underway. When I say the work itself, the construction, we haven't taken a decision to do that. That's something that we'll talk with the Board about and with our JV partner about as we work through our updated capital allocation framework.
Operator: Our next question comes from Ben Lyons from Jarden Securities Limited.
Ben Lyons: First question, just on Onslow. Congratulations on a very strong quarter, obviously. And I understand your comments around the channel passing trials, et cetera. Just specifically on one of the transshippers, though, Montebello doesn't appear to have moved since very early in the month of October. So just wondering if there's any maintenance issues or operating issues or crew availability or whether you just don't have sufficient capacity to run all of those transshippers simultaneously at present.
Mark Wilson: The Mondi is the vessel that I was referencing earlier when I said that one of the transshippers had a bowruster issue. So the portside bowruster was lost in operation. And just to be prudent, we basically moor it up whilst we repair it. And that's down from the 7th of October. As I said, we expect it to be back in service early next week. So it's not a capacity issue or anything like that. It's just an unplanned maintenance.
Ben Lyons: Apologies, I did miss the first part of the call. And this one might have already been asked as well, but just on the iron ore hedging, just whether you've disclosed the rough pricing you've hedged away that sort of 33% of volumes for fiscal '26.
Mark Wilson: Yes, no problem. One of the things I said earlier, and you might have missed it, was that we've only hedged out through calendar '25. So we haven't hedged the full financial year. We're actually waiting to see and understand better the impact of the change to the 61% index. So we've hedged the third out to the end of December. We've done that with a series of 0-cost collars with a floor of somewhere between 100 and 101 and a cap of $106 to 108. We've also got a few 0-cost forward sales, $102 to 105. So that's out to December. I also said that we've been able to hedge just a small volume of tonnes into January, and we're just reassessing what we might do through that first quarter next calendar year.
Operator: Our next question comes from John Sharp from CLSA.
Jonathon Sharp: Chris, congratulations on the ramp-up of Onslow, quite impressive results. And just the first question there around that, and a similar question to Lockheed sweating the assets, but more to do with the road trains. You've said that you're confident that you'll maintain the 35 million tonnes per annum as contractors come off. But are there any improvements that you see there with the road trains, whether it's cycle times, loading of trucks, anything that you're seeing there where you can improve? Or is that not a concern because maybe the transshippers are more of the concern?
Mark Wilson: I think we've been consistent in saying that ultimately, the transshippers are the bottleneck. We did have some inefficiencies through that first quarter just because of the use of the public road at times, the use of large numbers of contracted trucks, which impact productivity when they're unloading, and so on. So we expect to see greater efficiency over the coming months, but we don't see the haulage as being the constraint.
Jonathon Sharp: And just a question on the progress towards autonomous haulage. Can you just give us an update there? Is there any regulatory sort of certification that needs to be done, or anything to update us on there?
Mark Wilson: Thanks, John. The benefit -- or one of the benefits of having the road upgrade completed is now that we can move back to trialing of the autonomy, which is now underway. So we are trialing a number of trucks with the autonomy. That's a process that we said is going to take some time. We need to collect all the data and do the analysis, and working closely with the regulator to satisfy ourselves and then the state of those systems. So we've said that that's going to be a second half of next year sort of thing before we can really know with certainty how it's tracking. But at this point, we're still very confident in terms of how it's shaping up.
Operator: The next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: Just wondering on within the lithium business, if I look at on an SC6 basis, there was a divergence between the ASP at Mt Marion and Wodgina. Can you help us understand this, please?
Mark Wilson: Sure, Mitch. So a couple of things I'd point out. We're very, very happy with the price performance, in particular of Wodgina. And so we sell on spot. And obviously, in part, it depends on timing of sales and cargoes and the like. But I'd say that Wodgina's sales performance has been very strong through the quarter. So I think that, that delta between the 2 is possibly exaggerated to an extent by that. And the demand for that Wodgina product continues to be very strong, reflecting of the grade that we put through there. Marion, we tend to sell as a parcel with a combination of the higher grade and the lower grade. And so historically, the difference between the 2 has been about 5%. This quarter, it's 10%. I'd say it's in part due to the strength of the performance of Wodgina. There is a 10% discount applied to the S3 product, the 3.5.
Mitch Ryan: And then staying at Marion, total tonnes mined were down materially quarter-on-quarter. How do we think about strip ratios and material movements in the mine plan going forward?
Mark Wilson: Yes, it's a good pickup and consistent with what we're saying -- one of the benefits of Marion is we operate out of a number of pits. So we don't just have a single pit. So you shouldn't be -- and you haven't suggested this, but I'm talking about the market generally. I shouldn't be worried that we're high-grading or anything like that. We're just reshuffling, resequencing our mine planning. And you're right, we were able to benefit from lower strip at Marion through the quarter. And we did that in part to help manage CapEx. We've said before that we're conscious about the way that we're managing our capital through the business. And so we are going to sequence back to higher strip pits, and the life of mine average at Marion is 10 to 11. So that's one of the reasons why I called out costs going up in the second half as we do that. But just to emphasize, we still see costs for the year falling within guidance.
Operator: Our next question comes from [ Hayden Burlow ] from [indiscernible].
Unknown Analyst: Really good result. Just a couple of questions from me. Mark, just on mining services. Just keen to get your sort of thoughts on external volumes and whether that you see some opportunities to grow, I guess, more into next year than this year, but just keen to see where that's at. And also in the Pilbara Hub, do we assume then lower volumes in this in the next quarter, just as you transition and get Lamb Creek going in Q4?
Mark Wilson: In terms of the first question, mining services, as I said, I think the external market, the demand for the services is strong. The industry is generally strong with the others in the industry, not that we have any true competitors the way we operate, but others are focused on gold. We see significant pipeline of opportunity into calendar year '26 and beyond. So very comfortable with the outlook and prospects for that business. In terms of the volumes out of the Central Pilbara, it's more a shift between the mines. As the market understands, one of the challenges with the Iron Valley product, even though it's a great product, it's very high. And so we do need to blend it. Wonmana is there, but the grades are falling. And so that's one of the reasons why I called out lower realizations over the next 2 quarters as we do that blending with reducing grades before we get Lamb Creek on. And then Lamb Creek, we'll see the grade stabilize and the blended grade stabilize. It will also see the cost improve because of the strip is quite low.
Operator: Our next question comes from Robert Stein from Macquarie.
Robert Stein: Quick one on just CapEx, the $400 million. I assume that's front-end weighted into the first half of the year, and obviously, because guidance is still intact that we can expect a slower second half run rate? And I've got a follow-up.
Mark Wilson: Rob, yes, that's an accurate assessment.
Robert Stein: And then secondly, just the Hancock payment. So the $41 million that was results to date, the issue with the well being capped basically getting another drill rig back on site, and then the other remaining part of the contingent consideration is still accessible once you're able to access or drill that -- the second part of the well?
Mark Wilson: No. So the Hancock arrangements now concluded with that payment of $41 million. The well that we referenced in the quarterly was another exploration well, and we weren't able to determine commercial volume to be able to take it to production. So we've got a program of drilling planned with Hancock. They're going to drill some material for opportunity for themselves, and JV will do some work over the coming months, but we have no intention to go back to that well.
Operator: Our next question comes from Lyndon Fagan from JPMorgan. Our next caller is Matthew Frydman from MST Financial.
Matthew Frydman: A couple of questions on mining services, please. Firstly, you mentioned in the release a bit of a reduction in third-party or client contract volumes. That sounded pretty minor. But is there anything you can do to quantify the drivers there, or whether that's a temporary or lasting impact?
Mark Wilson: Yes. Happy to explain that a little bit better. We had an external site finish last quarter, and we had a new one start this quarter, and they didn't balance out. We did more volume with the terminating contract and the new contract through its start-up phase. So that's a timing thing. And then we had 1 or 2 sites where the client wasn't able to provide us with the sort of volumes that we would normally expect. But again, not significant in any sense. So just a temporary thing, I think best described as.
Matthew Frydman: And then maybe following up on Hayden's earlier question, just, I guess, trying to quantify the next opportunity in mining services. I mean simple maths will tell us that even to grow volumes by a fairly modest 10%, it needs to be a 35 million tonne per annum contract. So what does the next opportunity in mining services look like? Is it partnering on more onslowsized developments? And I guess what sort of timeline do you expect in terms of yes, achieving some of those opportunities?
Mark Wilson: I think you've identified that -- I mean, the business has got a fantastic track record of growth over many years. And I think you've identified one of the challenges, which is to continue to support that sort of growth rate for a number of years into the future. So it is something we talk about internally. We do think about how we allocate resources. We've got -- we do have -- we've got a wonderful team, but we've got a certain number of people. We need to make sure they're pointed to the right opportunities. And so we need to work with management and with the Board to make sure we're thinking about that capital need going forward. I can't talk about specifics as you would appreciate. But what I would say is that the market better understands the capabilities of that business as a result of the success of Onslow, and I'll probably leave it at that.
Operator: We're going to try Lyndon Fagan again.
Lyndon Fagan: Look, just wanted to check in again on Wodgina Train 3. I'm not sure if this got covered off, but given a better outlook for the market, what do you need to see to ramp it up?
Mark Wilson: So the answer is that we've sought to be disciplined with supply. We have pulled volume out of the market. We do run that third train from time to time. We haven't set a hard number as such. We obviously track the market every day with the calls that we're making around sales. So we've got a pretty good view and feel for the market and what that outlook looks like in the short term. It's a JV asset as well. So any decision that we take around that needs to take into account the views of Albemarle. What I would say is we still -- we're holding to the guidance for this year. I think that's the best way to put it in terms of where we think sales production will be.
Lyndon Fagan: And I guess if you decided at the end of this year, the market outlook was sufficient to bring it on, when -- how quickly could you go from that decision to Train 3 at nameplate across the whole operation?
Mark Wilson: I think one of the interesting parts about that question is it highlights the optionality that sits inside the business generally. Specifically with respect to Train 3, we can turn that on overnight, and we can produce. In terms of having clean, consistent feed to support all 3 trains, that will be 12 months from now. We would be able to deliver production from 3 trains next week. But what we would see would be recoveries would fall, costs would be a little bit higher because we'd be dealing with more contact ore, and we'd have some dilution impacts on the plant. So on the mining and through the plant. So it's a choice that's available, but to get to nameplate with clean ore is going to be 12 months.
Operator: [Operator Instructions] Our next question comes from Lachlan Shaw from UBS.
Lachlan Shaw: Just a couple quick ones. So firstly, great result with the recent debt refinance. I'm just wondering, though, corporate spreads are pretty tight right now. You might be tempted to go early again on the next bond due November 27.
Mark Wilson: We were very pleased with the market reaction when we came to market. There was a lot of appetite both out of Asia and out of the U.S. The bond -- the next bond has a call premium of $1.04 effectively. So it's a little bit expensive to go now. That will step down shortly. It's a broader conversation in terms of how we think about the capital stack and what we're doing. So we don't have any hard plans to go, but that's an option we're continuing to monitor.
Lachlan Shaw: And then just a final one from me. So obviously, the haul road Donslow repair is complete, a really good outcome. As we're coming into the wet season and you sort of look at how that's all gone, are you comfortable that the sort of the risk areas along the road in terms of river crossings and potential for ling water to impact? Are you comfortable that's all being sufficiently addressed, and you've now got pretty reliable and resilient pathway through the wet season?
Mark Wilson: One of the benefits of the somewhat painful experience earlier this year was that we got a better understanding of where the water sat and how it moves live as opposed to the modeling. And so you can assume that we've studied that. We've worked with that, and we've tried to address that in the work that we've done through that period up to September. So yes, I'm confident that the team has done that work.
Operator: Our next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: Previously, you had disclosed plans to take Onslow well beyond 35 million towards 50 million tonnes with the deleveraging in sight. Is there any information to dust those plans off? Or what would you need to see to dust those plans?
Mark Wilson: Mitch, thanks for the question. We're not changing our position. We see a potential to go to 38 with the sixth transhipper. We know that there's a huge amount of resource out there, but there's also a lot of work that will be needed to be done both on the resource and on port infrastructure to go materially higher. So that's something you can assume that we're talking about because we always have the medium to long term in mind. But for the short to medium term, there's no plans to change what we're saying.
Mitch Ryan: And just with regards to the study of reintroducing float at Mt Marion, does that potentially use the existing float equipment there? Or will it need new equipment?
Mark Wilson: There's potential to reuse some of it, but it will be largely new. And just we've talked about it a little bit today. Yes, the benefits of the float are clear in the sense that it would allow us to have a single product, and it should take -- subject to what the study -- final study says, we estimate it could take up to $100 a tonne out of the all-in sustaining cost of the operations. But ultimately, it's a capital investment decision. We have to take that through management and through the Board once we finish our analysis.
Operator: There are no further questions. That concludes today's call. Thank you for your time, and have a great day. Please reach out to the MinRes team if you have any follow-up questions. You may now disconnect.